Operator: Good morning, ladies and gentlemen. Welcome to Village Farms International’s First Quarter 2020 Financial Results Conference Call. Yesterday, Village Farms issued a news release reporting its financial results for the first quarter ended March 31st, 2020. That news release along with the company's financial statements are available on the company's website at villagefarms.com under the Investor's heading.Please note that today's call is being broadcast live over the Internet and will be archived for replay, both by telephone and via the Internet, beginning approximately one hour following completion of the call. Details of how to access the replays are available in yesterday's news release.Before we begin, let me remind you that forward-looking statements may be made today during or after the formal part of the conference call. Certain material assumptions were applied in providing these statements, many of which are beyond our control.These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in forward-looking statements. A summary of these underlying assumptions, risks, and uncertainties is contained in a company's various securities filings with the SEC and the Canadian regulators, including its Form 10-K for the year ended December 31st, 2019 and the Form 10-Q for the quarter ended March 31st, 2020, which is available on Edgar and SEDAR.These forward-looking statements are made as of today's date and except as required by applicable securities law, we company undertake no obligation to publicly update or revise any such statements.I would now like to turn the call over to Michael DeGiglio, Chief Executive Officer of Village Farms International. Please go ahead, Mr. DeGiglio.
Michael DeGiglio: Thanks, Michelle and thank you to everyone for joining us today. With me for today's call is Village Farms’ Chief Financial Officer, Steve Ruffini.The agenda for today's call, I'll start with a review of the highlights of the quarter most notably the fifth consecutive quarter of profitability for Pure Sunfarms as we saw a significant quarter-to-quarter ramp up in retail branded sales. Steve will then review our financial results and I'll return and discuss why we remain so confident in the future of our company, and then be happy to take questions.But before I start, I just -- before I review this quarter, I'd like to provide an update with respect to our operations during COVID-19 pandemic. We are grateful to report that all of our Village Farms and Pure Sunfarms facilities whether Canada, U.S., or Mexico remain fully open and operational as they have throughout the pandemic.The health and well-being of our employees, customers, vendors, partners, and their families continues to be our top priority. We're continuing to adhere to additional health and safety practices as per municipal, state, provincial, and federal health authority recommendations over the above the already very high standard of hygiene practices and protocols already in places as a highly regulated food producer.We have always taken our role as one of the largest suppliers of year-round fresh quality produce in North America and the consumers we sell this very seriously bringing that same dedication to Pure Sunfarms. But never have we taken our role more seriously than during the current environment and I'd like to acknowledge all of our employees companywide who are working tirelessly to ensure health and safe produce is getting to our retail partners. And in particular, I'd like to thank all those who played a role in helping us feed over 10,000 families in Texas with donations of over 200 tons of produce throughout the state to local food banks and pantries. We are fortunate during this difficult time that we operate essential businesses that thus far, have remained largely unaffected by the pandemic.Now, turning to Pure Sunfarms, of which I remind you, we now are just shy of 59% as of April 2nd. Pure Sunfarms continues to clearly set the standard in the Canadian cannabis industry for growing capabilities, best-in-class facilities and operations, costs of cultivation in a greenhouse, managerial acumen, and brand performance. And it continues to be one of the few profitable Canadian cannabis suppliers not just this quarter, but now for five consecutive quarters. This performance is unmatched in Canada.As expected during the first quarter, Pure Sunfarms saw a significantly ramp-up in sales volume, following its planned transition to predominately retail branded sales from the fourth quarter.Total net sales increased 25% year-on-year to just over $18 million with $8.5 million of that generated by retail branded sales to potential distributors. That's 118% increase in dollar sales from Q4 on 179% increase in kilograms from the fourth quarter as well. And I want to remind everyone that Q1 was just a second quarter of retail branded sales for Pure Sunfarms.Sequential growth was also result of sales activity in the wholesale market. While positive, I do note that we expect wholesale sales to be lumpy for the foreseeable future. The significant increase in retail branded sales in Q1 was driven by a number of positive factors.Pure Sunfarms dried cannabis product continue to be favored by consumers in each of the three provinces that we are selling. In Ontario, during the first quarter Pure Sunfarms once again sold more dried cannabis than any other brand with the Ontario cannabis store. That's on both a volume basis and a dollar basis.That makes the second consecutive quarter that Pure Sunfarms was a top-selling brand with the OCS each of the two quarters since its retail launch right out of the gate. And once again Pure Sunfarms had the top-selling product with the OCS by both volume and dollar sold.In the first four months of the year, Pure Sunfarms captured for captured 14.3% of the Ontario dried cannabis market, with market share jumping to more than 20% in the month of April.Pure Sunfarms goal is to capture at least 20% of the dried cannabis market nationally in Canada over the long-term. Yes, it's too early to say, but this is just a single month of data for Ontario alone, but we think it's a strong indication that we can achieve our goal.Retail sales growth was also driven by the start of shipments for the retail market to expand province, Alberta, where Pure Sunfarms product is having great feedback from both retailers and consumers.At $60 per capita annual consumption, Alberta is by far the leader of the five largest provinces, clear evidence of the critical role that bricks-and-mortar retail stores play in driving sales.I will note here that the robust sales growth and brand performance in Ontario is in a market that remains significantly underserved on a bricks-and-mortar store basis. Per capita sales in Ontario is under $25. And for additional content, pure capita consumption -- per capita consumption in the U.S. states open for two years or more are even higher than Alberta with Colorado leading the way at $99 followed by Oregon $97, and Washington State at $89 as opposed to Ontario at $25, huge difference.Recently Pure Sunfarms took a major step towards launching its fourth province receiving approval from the Saskatchewan Liquor and Gaming Authority to sell to private retailers in that province. It is now preparing to begin shipping.Like Alberta, Saskatchewan punches well above its weight, representing 6% of cannabis sales with just 3% of the population. Q1 was also further confirmation of Pure Sunfarms' advantage around costs -- cultivation costs, were all-in cultivation costs for Q1, which as always includes depreciation expense of $0.88 per gram, bringing the average for the past four quarters to less than $0.74.And as a reminder, cultivation costs are higher during the winter quarters when yields are naturally lower and supplemental lighting is required during the few hours of sunlight than in the summer period.We're confident that this industry-leading greenhouse cultivation costs will continue to not only support further market share growth in the legal market, but to capture meaningful share from the illicit market. Competing directly with the illicit market is what will truly drive sales.It's the key near-term strategy Pure Sunfarms and the tactics to achieve this are in place and working. At the same time, product quality strains and blends and potency remain paramount. The team is continually striving to even further elevate the already high levels of its products, while continually working to bring the cost of cultivation down even further, the continuous improvement process that never ends.And [Indiscernible] is specifically around handling and pesticide use especially now will increasingly become more important to consumers. And tax revenue paid by the legal trade will become increasingly important to governments, which we think is good for the entire industry.Finally, on price, there is no doubt that the number of Canadian suppliers needs to contract for the health of the entire industry and we believe the current trends in the pricing environment, which we are leading will see to this eventually.In late March, Pure Sunfarms launches first large format value offering a 28 gram package with the same high quality that Pure Sunfarms has become known for. The product has the lowest price per gram of any dried cannabis product on the market in the three provinces in which it is currently sold.And I wanted to share with you some of the social media comments from consumers themselves, which underscores the strategy to take share from the illicit trade. The first one, "After my good luck with the 28 gram bag I acquired of the Pure Sunfarms' Indica blend pulled me back to the legal market. The fact I could purchase a 28-gram bag at a pretty reasonable cost made me switch from the black market."Another quote, "This is what the illegal market should fear." Another quote, "This is how do you combat the black market". It is very quickly becoming the top-selling product in Ontario and in the first month in the market by both volume and dollars, value is even more important during these tough economic times when consumers are much more price-sensitive. And this product sets an OCS record for sales volume for a single product during a one-week period in the dry flower [ph] category.The success of Pure Sunfarms' 28-gram offering is not a surprise. We are increasingly seeing the market demanding high quality product at a value price and the provincial distributors seem to be taking note.For instance, in April, the Chief Commercial Officer for the entire Ontario cannabis store, in an interview discussed the importance of price and quality and taking share from the legacy market and know that the OCS had brought his pricing down by 25% since the beginning of the year, and even gave a shout -- gave a shout out to Pure Sunfarms by name.We believe there is no better partner than Pure Sunfarms to support the OCS in achieving its objectives. And we very much look forward to continuing to play a leading role here.Pure Sunfarms can and will continue to be aggressive around pricing when it launches additional products, including cannabis 2.0 products and again with the key attributes of quality and safety in mind.Preparations for the launch of wild products and 2.0 products has accelerated and I'm pleased to report that we now expect our first wild [ph] and 2.0 products to be launched this coming summer. While I know everyone is eager to know the specifics here. For competitive reasons, we're going to wait until the launch to say anymore, but it won't be long.Now, turning to our U.S. CBD program. On our last call, I discussed how profound this appointment and really development that following the federal government's decriminalization of hemp and CBD at the end of 2018, its very own agency have failed to provide the regulatory clarity to enable law, aiding companies to participate and help this huge opportunity realize its potential.The industry has essentially come to a stance pending the FDA providing a clear path forward. And we are now not only seeing companies dedicated to the space struggling, but failing, and it's clearly caused large retail players to put brakes on their strategies for CBD province.The economic impact of the foot-dragging is especially egregious now when the economy is in dire need of any and all drivers of economic activity and growth. Clear FDA leadership and guidance is required and required now.That said, we continue to be proactive and exploring additional paths forward that we can act on prudently in the near-term. We're actively engaged in market research and looking at product development that would allow us to move forward with the current regulatory environment.And then finally, in our produce business, during the first quarter, we saw elevated pricing due to the high demand as consumers rush to stock up when concerns over the pandemic took hold.However, we were only able to take partial advantage, as we had to honor our existing contracts with our major retailers that prices that were below the spot market. In addition, volumes from our Texas facility continue to be below normal production volumes.Importantly, with our newest growing plant is coming online, we have now replaced all the capacity that was displaced by cannabis in Canada and then some.The organizational breadth and strengthen and experience underlying our produce business remains a tremendous foundation through which to transform into new high value high growth opportunities such as CBD.And whereas we have separations among the very largest and best located in the United States, there is no one in our opinion better position for a federally legalized cannabis market.Something, we are more optimistic about given the expected need to stimulus and tax revenue going forward in this election year. We have more than $300 million and replacement value in our U.S. greenhouse assets. None of our publicly traded Canadian peers can say that.I'd like to turn the call over to Steve now to walk through the financial results. Steve?
Stephen Ruffini: Thanks Mike. For those new to the Village Farms story, our cannabis joint venture with Pure Sunfarms cannot be consolidated for accounting purposes even though we own the majority of it, as the Pure Sunfarms board is jointly controlled. That said, we continue to provide full results for Pure Sunfarms to the investment public, so you can do comparisons with the other public Canadian licensed producers.The Pure Sunfarms March 31 balance sheet and Q1 income statement is contained in footnote number 6 in our financial statements. It is in U.S. dollars rather than Canadian dollars as Village Farms is required to report factorial results in U.S. dollars.In an attempt to help the readers, we included the financial summary in our press release in both Canadian dollars and US dollars. Unfortunately, we did not translate two figures correctly, while the Pure Sunfarms net sales figure for Q1 is correct in at US$13.1 million. The breakout between retail and wholesale was not, the retail or branded sales figure should be in US$6.2 million, and the wholesale in U.S. dollars should be 6.9 million. The Canadian figures as shown in the press release are correct.As stated in our April earnings call, Pure Sunfarms experienced significant quarter-on-quarter growth in terms of sales and volume to provincial governments, with provincial sales of 8.5 million in the quarter against Q4 2019 sales of approximately 3.9 million or up 118% increase and that was primarily driven by the increase in volume of 179% going from 1,100 -- roughly 1100 grams in Q4 2019 to over 3,000 kilograms in the first quarter of 2020. This revenue represents sell in, in Q1 2020 versus sell in Q4 of 2019.As Mike said, Q1 of 2020 benefit from the initial sell into Alberta and the selling of the large format to Ontario cannabis store. When we're stating our market share figures that Mike provided, those represent sell-through those figures are provided by the OCS retail channel and provided in POS point of sale data to the Pure Sunfarms brand team.The sell through, or POS data has been very strong for the large format product, particularly in April as its hit store shelves. You will note that, this does come at a lower price per gram obviously, with a lower gross margin to Pure Sunfarms, then the retail sales of our house skews.The Q1 2020 wholesale business which was non-existent in Q4 of 2019, as Mike said was lumpy was finally driven by transactions with two Canadian extraction LPs for seeking dried cannabis, flour in exchange for various forms of distillate. Pure Sunfarms entered into these transactions due to both the availability of high grade extraction, flower and trim, as well as the delay in its extraction license from Health Canada.So in order for Pure Sunfarms to enter the Cannabis 2.0 market in December of 2020, it was need of distillate and as Mike mentioned, we'll be launching with Cannabis 2.0 skews this summer,As reported last May, so May of 2019 Pure Sunfarms was anticipated experiencing a very strong improvement year-on-year in our cost per gram as the Delta 3 facility while it was fully licensed in Q1 of 2019, it was not fully operational, because it wasn't fully planted.Now the market concede the benefit of economies of scale. With a full winter of full scale production, as well as an additional year of experience. We brought down our cost per gram by 36% a year-on-year basis from $1.38 year ago to $0.88 this quarter for $0.50 per gram difference.I also want to quickly review the Q1 financial impact of the March settlement agreement between Pure Sunfarms, Village Farms and Emeralds. Both Village Farms and Pure Sunfarms recognized income in Q1 as a result of the transactions contained in the settlement.Pure Sunfarms recognized US$4.3 million of income and exchange with the cancellation of the outstanding liabilities that remained under the 2019 supply agreements, as well as the future supply agreement that Emerald wants to get out for 2020, 2021 and 2022. The amount the 4.3 million in U.S. dollars represents the remaining shareholder loan that was outstanding between Emerald and Pure Sunfarms at CAD5.9 million.So one can look at this figure essentially as either debt burden income or I can look at it as essentially products revenues, but could not be recognized as product revenue since product was delivered. So, in any event, it represents from an accounting perspective, an income recognition of US$4.3 million and is a one-time benefit. So, is not been included in the EBITDA of either Pure Sunfarms or Village Farms represented in our financials additionally.Additionally, as part of the settlement and Emerald transferred 2.5% equity stake of Pure Sunfarms to Village Farms, which resulted in Village Farms recognizing other income of CAD4.7 million or CAD6.25 million as the value of the Pure Sunfarms stock receive to avoid any guesswork on the various stock blogs. If you do the math that's, that's an agreed value between the parties of Pure Sunfarms of 250 million.Our produce business like cannabis is an essential business. And as Mike said, it's not experienced any production issues related to C-19. For which we are very fortunate. That said retail demand has been volatile. We saw very strong pricing as Mike mentioned in March.During blackout, the holding period in -- in early April, we saw fallouts in demand -- even the retailer couldn't really explain that, because people were buying other things other fresh produce, but recently we've seen very strong pricing in early May, compared to historical levels for early May. And fortunately for us, we dropped one of our large retail contracts effective March 31. So we are benefiting from that improved pricing in our own results in Q2.Just one thing to note, while not much happened with our U.S. tech business in the in Q1, we are having continued interest with respect to our existing biomass. I do want to note we do have a -- we did receive in March our license to grow hemp in Texas. But at this stage, we are not embarking on that until these regulatory hurdles are out of our way. And with that, I'll turn it over to Mike.
Michael DeGiglio: Okay. Thank you, Steve. So in conclusion, here we are a little over a year and a half into the legalized market for recreation -- recreational cannabis in Canada. Amidst of market that has been slower to develop than expected and smaller economies than originally expected. But with just as much long term potential, the industry is now really segmenting into leaders, survivors and everyone else.From day one, we can see that in built Pure Sunfarms and not just be a leader in the cannabis industry, but to beat the leader. We focus first on getting the cultivation underpinnings right providing the lowest cost of cultivation in the industry. We've done it's done what we believe is the best management team in the business. And then that team launch would immediately became and has consistently been the top selling dried cannabis brand and Canada's largest market.So I'm going to come back to something you've heard me say before, it's Ferraris famous mono that we are the competition. And yes, it's a bold statement, but one that I'm proud to simply make about Pure Sunfarms not with arrogance, but with confidence. It's the confidence that, I've had since day one about 30 years ago in a large scale, low cost cultivation, knowledge experience and DNA operational know how on best in class facilities and operation, and it's the confidence I have today based on consistently being the top selling dried cannabis in Ontario having the lowest costs of greenhouse cultivation in the country, and quarter-after-quarter generating profitability.No one knows exactly what the next 6 months to 12 months look like the unprecedented withdrawals of financial guidance by public companies even the largest and most mature it's evidence that. That said, I am comfortable with where our businesses are today and I remain very common what lies ahead. While the Canadian cannabis industry will likely see some choppiness in the near term to the effects of the pandemic Pure Sunfarms has a number of catalysts that directly leverages leading brand performance.The build out of retail store network in Ontario, further expansion across Canada and the introduction of new products, including Cannabis 2.0 that make for a very exciting 2020 and beyond.So, thank you for listening. And we'd be happy to take some questions, if anyone has. Operator?[Operator Instructions] The first question comes from Aaron Grey from Alliance Global Partners. Your line is open.
Aaron Grey: Hi, guys. Thanks for the questions. And congrats on the quarter and the strong market share momentum heading in April. Just a first one from me, just in terms of, the commentary on the price per gram for adult-use, just as you know, we look to have these large formats that's kind of become a higher portion of the mix going forward. How should we think about that, $2.8 per gram, kind of trending? And how much does that kind of come down as we look to modeling out going forward? Thank you.
Michael DeGiglio: I think probably not going to answer that directly. But I think in general, that's our philosophy is, as I clearly said, it's we have to be competitive, but the legacy business and pricing will just come down as we see that penetration. And, you know, to the point where we believe the penetration rate will increase. And we're going to remain with that strategy as we launch these other products this summer. And I think it'll be much clearer, maybe when we report the third quarter how that's going to look.
Aaron Grey: All right. Great. Thanks for that. And then the second question is just on 2.0 and the plans for launch this summer, you know, while I can certainly appreciate for competitive reasons, I don't want to, disclose too much. Could you maybe instead just talk about, you know, what you're seeing right now in the marketplace and maybe the opportunities you see specifically in oils or vapes edibles, you know, for Pure Sunfarms, specifically given you know, how well, you execute on the second mover advantage in Cannabis 1.0. So any commentator on your view of the competitive landscape and 2.0 products would be helpful? Thanks.
Michael DeGiglio: Well, I think the you know the management team at Pure Sunfarms sat back and watched as they've done before, what was working from others and what was not working. So that's proven to be a positive for them. And in terms of not just the performance of the product but where the pricing needs to be and I think as they launch their first product, and I'm not going to say what it is, I think you'll see the same aggressive pricing strategy that they launched when they started retail sales in the fourth quarter. So, again that, that will show clear when we report the second quarter. Thank you.
Aaron Grey: Great. Thanks for that and best of luck.
Michael DeGiglio: Thank you.
Operator: Your next question comes from Andrew Partheniou from Stifel. Your line is open.
Andrew Partheniou: Hey, thanks. And congrats on a good quarter. So I'd like to talk a little bit about the supply chain dynamics. At the beginning of this year, we were and the launch of 2.0 products we were hearing that overall prevented distributors were you know, changing their ordering dynamics and ordering more frequently but let's volume in order to be closer to just in time type of ordering dynamic? And just wondering now with COVID have you seen any changes and in that sense perhaps volumes increasing or higher frequency in ordering?
Michael DeGiglio: No, I think, there is so many moving parts; it's really hard to get a handle on it. But I would probably say that, like many other consumer products, there was a higher purchase towards the end of the first quarter. But I think that's going to thin out. My view is that it's going to probably contract somewhat in the second quarter, and then probably get back on track in the third and fourth quarter. I think, if you look at Ontario, sales aren't quite even bad to the level they were in January. So I think, it's still -- we still need to get through the second quarter because it's kind of give the provincial governments time to move through the inventory assess what they have, before they start replenishing.
Andrew Partheniou: Okay. Thanks. And maybe if I can dive a little deeper towards your comment on Ontario. Are you able to maybe give a little bit more color and, and how click and collect and delivery is doing? I know you just said that they're not back towards the level in January, but could you give it a little bit of color in terms of the types of magnitude or potentially, are they suffering from lack of inventory or is it just not being able to fulfill demand as quickly as before?
Michael DeGiglio: In resistance Steve, we were a bit removed from those levels of details. Actually from a delivery perspective, I was quite excited about it. One of the advantages the legacy business has, the dealer is no longer a rep, he delivers it to the house, so which is what was happening. So actually, the development of them closing, freaking us all out closing the stores, and then changing their minds and having store pickup and home delivery. Hopefully, home delivery continues, when things go back to when everything is normal. So, we don't have specifics for that, but I think it's also benefited a large format as well. People want to make less trips to go out. So hopefully, it turns out to be a long-term benefit for the legal industry.
Andrew Partheniou: Great. Thanks for taking my question again.
Operator: Your next question comes from Doug Cooper from Beacon Securities. Your line is open.
Doug Cooper: Hi, good morning, guys, and congratulations on a great quarter. Just want to follow-up your comments of 20% market share of the OCS in April. Can you talk a little bit about the breadth of redistribution beyond the OCS in Ontario?
Stephen Ruffini: Doug, Steve here. We don't -- unfortunately, other provincial governments don't provide that to Pure Sunfarms. So I did pure conjecture. I know other people say they're X percent of the total market, but we've asked Pure Sunfarms what the market share is in these other provincial sales and they said they don't have the information. So we can't --we're not going to report, what we can't support.
Doug Cooper: Right. What about just how many doors are you -- how many actual retail stores is your product available in Ontario of the actual retail stores? What percentage?
Stephen Ruffini: I don't know. I haven't asked the Pure Sunfarms team. I think they might know that. I can get back to you, maybe but I don't know.
Doug Cooper: Okay. Do you just in terms of the large format, can you just remind us what the THC level is in that, is it sort of 18% to 22%? Is that the sort of range?
Stephen Ruffini: Yeah. I think, we don't want to be looking very somewhat, but I mean that 28 packs in Indica and that's the sweet spot there is probably in 15 to 16 range and we're always striving to get that balance better and improve on that. But for the most part, that's the current range and it's in and been well accepted there.
Doug Cooper: Okay. Can you talk about there's some other kind of value packs are being offered in the marketplace. What is there with the price advantage or the, that you have over those other value packs? In terms of well, I guess in terms of where the retail is pricing them?
Stephen Ruffini: Well, I think what we've heard from Ontario set the lowest price, we have the lowest price, they are selling at the lowest price they've come off 25% as I said and our product is being sold at the lowest price. But I think the key difference with anyone else is we're profitable doing it.
Doug Cooper: Right. Is it retail and just remind us, is it around $99 before HST, is that where we are at?
Stephen Ruffini: Yes.
Doug Cooper: Okay. I think you guys mentioned, I must have missed it on the call and the strategy for opening up D2 given this environment?
Stephen Ruffini: We're going to wait and see what transpires here. I mean, look, we don't know there's so many moving parts I mean, where the pandemic changes or what happens in the fall. So we want to be very cautious because till there is a resurgence of the bricks and mortar stores. We don't want to have an overcapacity is the prudent thing to do. And we're actually will monitor even Delta 3. We're very focused on having our capacity meet our demand. And we can even, cut that back. Remember, Delta 3 has 16 grow room, so we wanted to cut that back to 14 or 13 we could. And then half of Delta 2 is ready to go.So we can move that going forward towards year ends or the beginning of the year, as we see where the market go. So the good news is long-term, we can double our capacity with the same cost structure, which I think is now starting to prove how it differentiates us from the competitors and get to a double capacity going forward. And at the same time, if we have to curtail with 16 grow rooms in Delta 3, we can adjust that pretty quickly. As it's an eight-week cycle for us inside the flower, so but we just got a monitor it because it's really hard to see what the demand is going to be in the current situation.
Operator: Your next question will come from Rahul Sarugaser from Raymond James. Your line is open.
Rahul Sarugaser: Morning, Mike and Steve. Thanks so much for taking my questions. And let me reiterate, congrats on a strong quarter and also really like six straight quarters of positive EBITDA, that's really unprecedented industry, so anyway huge congratulations to you and even the team. So, there's been a lot of questions on the retail and of course, that's really important. I wanted to sort of focus on your product split. We saw that there's been a real reemergence of wholesale, almost about a 50-50 split between your adult use and wholesale, so where do you see that wholesale going, you seen that being durable, do you see that being a potentially larger proportion of your revenue, particularly as the market continues to sort of be slow? And then sort of as a follow-up to that, Mike who do you see as the primary buyers, are the extractors, are there other LPs, because that really kind of speaks to the competitive advantage that you guys are building?
Michael DeGiglio: Yeah, I think, our strategy is to be a fully vertically integrated company. So that ultimately it means that we want to control our whole production and everything we do into cannabis to point out ourselves. So yeah, I think the retail at the end of the day, we're shooting to be very high percentage of retail at the 60%, 70% level of our website. So to the extent that wholesale is there and always going to have to have another outlet because of quality consistency, that's just the way it is still a farm product. Right. But I don't know what the future is going to hold on wholesale. I mean, I think it would probably be working more with extractors for the foreseeable future.Believe it or not, there are other LPs that are asking us for product and I'm a little bewildered by it, but maybe it has to do with cost structure. But I think as this contraction takes place in the industry, at some point, that's going to really change what the dynamics between wholesale and retail for us are.Everybody's still in the game right now, even with tremendous losses on a quarterly basis that we're seeing because basically, as long as they're able to get financing, it's just, there's like 50 plus suppliers in the industry. It's just way too many and I think that's going to have a very impact on the wholesale dynamics. So I would think retail answer your question more or less, retail and we're shooting at retail is the largest percentage of our overall revenues.
Rahul Sarugaser: Great. That's really helpful. And then sort of moving forward now to Cannabis 2.0. So you guys, as you said Mike, as a second mover, you were able to use your cost advantage to drive -- grabbing market share in the whole flower segment. And what we're also seeing is likely in the wholesale segment overtime and again like you said, you're able to actually do that profitably.When it comes to Cannabis 2.0, the cost of goods of flower is less of a key component, whereas formulation and intellectual property tends to be a driver of cost of goods. So how do you -- how are you managing your strategy in Cannabis 2.0, when your cost advantage of cultivation is not as strong as it is in Cannabis 1.0?
Michael DeGiglio: Yeah. I think, yes, you would agree it's an ingredient. But what we've done is like we've done in the past with Pure Sunfarms has done and I think they've been brilliant about it. They've watched everybody else position, pick a product, I don't know, chocolate baits, whatever and see how they position the pricing and then they've come back in and analyze where they can be overall. So I think more importantly, at the end of the day, I know they can be much more aggressive and that's why they wait to see where the market is and the pricing structure. And then that evaluation and I've seen that as shown that they can be very aggressive over the competition.So even though it may be an ingredient, it's still that -- it still adds up to having an advantage and keep in mind, that the margins that, the margin of 70% or 80% are just not realistic. I mean, at the end of the day, it's a CPG product and as it matures out, I think it's going to have typical average CPG margins in the 30%, 40% range and I think we're going to compete very well there. So, again, I think it's a great question that can be better answered on the third quarter conference call.
Rahul Sarugaser: Right, terrific. Okay, thanks. Thanks again and congratulations again.
Michael DeGiglio: Thank you.
Operator: Your next question will come from Scott Fortune from ROTH Capital Partners. Your line is open.
Scott Fortune: Good morning. Thank you and congrats on the quarter. My lot of the questions has been answered, but I don't know if you break it down business coming from Ontario and the different provinces, can you provide just a little bit color from Alberta NPC as far as the ramp or reorders are going there compared to what you experienced in Ontario at all, just kind of the throughput and reorders velocity from that standpoint?
Stephen Ruffini: Yeah, I mean, the reorders are coming in and that's something actually Scott that we're looking at is, what's unique about at least from my experience, unlike dealing with large retailers here in Canada, U.S. where we're rolling out our forecasts and what we're going to be doing a year ahead of time, it's really not that way currently in the cannabis sector in Canada.So, it's hard to get more of a handle on these projections going forward. But we are sitting in a good position in British Columbia and we just started with Alberta recently, so I think it's too early to say that was something that finally we got going actually in the first quarter. So probably just feel better to answer that question when we get some traction towards reporting the second quarter.
Scott Fortune: Okay. And then I know you guys are continuing to explore the other provinces Congrats on Saskatchewan, Quebec and Manitoba two other large provinces, even Yukon?
Stephen Ruffini: Well, obviously, the apple of their eye is Quebec, but hopefully that will happen sometime soon, but I don't know. We're not, Mike and I are not involved in the day-to-day, but that I know there is ongoing discussion there.
Scott Fortune: I've asked about the Yukon too? Okay. That's it for me. Thanks.
Stephen Ruffini: Thanks, Scott.
Operator: And our final question for today will come from Eric Des Lauriers from Craig-Hallum Capital. Your line is open.
Eric Des Lauriers: All right. Thanks for taking my questions, guys. First thing for me, a bit of a follow-up on the previous question, I'm just wondering if you guys have noticed any change in regulators appetite to either sign additional supply agreements or to license additional retail stores in light of COVID just any, any kind of impact that COVID may have on regulators signing new supply agreements or opening retail stores, from you guys point of view?
Stephen Ruffini: No, not tied to regulation that we're aware of just -- it's just kind of compressed and slow things down. So, but we haven't seen anything unusual just to slow down because the essential business issues in general. So we have and just like in the U.S., we have but I will want to say with the U.S., I know that for your question, but we're starting to see some political flavor towards looking at the criminalization of cannabis I think due to the pandemics, probably not the way we want them to get there. But again, that's a big possibility for Village Farms in the future, should that happen in the next year or so. And so that's a regulatory issue that we're looking very clearly in the U.S. that would be beneficial to us going forward.
Eric Des Lauriers: Okay. That makes sense. And then last one for me, great to see the kind of impact that your low cost bulk product has had in the market right now. Great demand, obviously seeing increased market share. You guys mentioned that you have new bulk products coming out this Sativa blend as well as some 14-gram products. Anything you can share on sort of when you expect that to maybe hit your guys retail sales?
Michael DeGiglio: It's launched. I mean, it launched we haven't seen POS data, but I think the initial shipments have shipped in to whichever provincial governments are taking it. So we'll have more to report on that, but, hopefully that does go on this garner Pure Sunfarms additional market share in the market, those cues are in.
Eric Des Lauriers: Alright. Great. That's helpful. Well, thanks again and congrats, guys and best of luck.
Michael DeGiglio: Thanks, Eric.
Michael DeGiglio: Thank you, Michelle.
Operator: You're very welcome.
Michael DeGiglio: Thank you, everyone. That concludes the calls and thank you for participating today. It's much appreciated and wishing everybody be safe. Thank you.
Operator: Thank you, everyone. This will conclude today's conference call. You may now disconnect.